- :
Operator: Welcome to the FirstEnergy Corp. first quarter 2008 earnings conference call. At this time all participants are in a listen-only mode. (Operator instructions) It is now my pleasure to introduce your host, Ms. Irene Prezelj, Manager of Investor Relations for FirstEnergy Corp. Thank you Ms. Prezelj, you may begin.
Irene Prezelj: Thank you and good afternoon. During this conference call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements with respect to revenues, earnings, performance, strategies, prospects and other aspects of the business of FirstEnergy Corp. are based on current expectations that are subject to risks and uncertainties. A number of factors could cause actual results or outcomes to differ materially from those indicated by such forward-looking statements. Please read the Safe Harbor statement contained in the consolidated report to the financial community, which was released earlier today and is also available on our website under the earnings release link. Reconciliation to GAAP for the non-GAAP earnings measures, we will be referring to today are also contained in that report as well as on the investor information section of our website at www.firstenergycorp.com/ir. Participating in today’s call are Anthony Alexander, President and Chief Executive Officer; Mark Clark, Executive Vice President and Chief Financial Officer; Leila Vespoli, Executive Vice President and General Counsel, Harvey Wagner, Vice President and Controller; Jim Pearson, Vice President and Treasurer; Bill Bird, Vice President of Corporate Risk, and Ron Seeholzer, Vice President of Investor Relations. I’ll now turn the call over to Anthony.
Anthony Alexander: Thanks Irene and good afternoon everyone. Earlier today, we’ve reported first quarter 2009 normalized non-GAAP earnings of $1.02 per share this compares to $0.88 reported for the first quarter of 2008 and as a positive start of the year. Especially, given the challenges our industry faces in the current economic climate. Our recently named CFO, Mark Clark will provide you with more details about out financial results. First, I’d like to give you a short overview of recent significant events including some positive regulatory developments. First and foremost is a resolution of our amended Electric Security Plan in Ohio. On March 25, the Public Utilities Commission of Ohio approved our amended plan, which was signed by nearly all of the parties in the case. I believe the plan strikes the appropriate balance we were seeking. It settles pricing and service arrangements, for the distribution of the electric service through the end of 2011 and provides for a competitive bidding process to establish generation prices through May 2011. Under the plan, FES is supplying essentially 100% of the generation in April and May 2009 to our Ohio utilities at the average wholesale rate established in the December 2008 bidding process of $66.68 per megawatt-hour and the January through March generation prices were approved. Retail generation rates, for the two year period beginning June 1, will be set from the results of the descending clock competitive bidding process that begins on May 13. In this process, the Ohio utilities will seek to procure on a slice of system basis 100% of their supply requirements, including energy and capacity, transmission and ancillary services. This bidding process will be conducted by an independent bid manager and represents a key step forward in our transition to competitive markets in Ohio. The Cleveland Electric Illuminating Company will continue to defer a portion of its purchase power cost during April and May with recovery of the deferred balance plus carrying costs beginning June 1 of 2011. The plan also, freezes base distribution rates through the end of 2011, establishes a delivery service improvement writer effective April 1, 2009 through December 31, 2011 and helps to mitigate some financial risks through the addition of writers to recover uncollectible accounts and deferrals previously approved by the commission. Finally as a result of the plan, we have written 50% of CEIs extended RTC balance, which is about $216 million. The impact of that reduction will be reflected in customer’s bills beginning on June 1, 2009. Now turning to Pennsylvania, in late February we filed with the Pennsylvania public utilities commission, a generation procurement plan for Met-Ed and Penelec for 2011 through 2013. In the planned we proposed a staggered procurement schedule as required by Pennsylvania law and we hope to have a final order from the commission by October of this year. Also in Pennsylvania the legislative debate continues with respect to phasing in customer rates when rate caps expire at the end of 2010 for Met-Ed and Penelec. Hearings were held in late March and our Executive Vice President and General Counsel, Leila Vespoli testified on behalf of our company’s. We support a carefully crafted phase in as long as several important areas are addressed, including establishing the right phase in level and insuring full recovery of any resulting deferrals and carrying charges. Leila and her team continued to work with legislative leaders on these important issues. Now let’s move to two more recent generation related announcements. First on April 1, we announced plans to re-power our burger plant units four and five totaling just over 300 megawatts with biomass. When complete the burger plant located in Shadyside, Ohio is expected to be one of the largest biomass facilities in the United States. The capital cost for retrofitting the facility are estimated to be approximately $200 million, which is less than the estimated cost to install scrubbers and other environmental equipment that would have been needed to continue operating the plant with coal. We expect to complete the conversion in 2012. Importantly the re-powered facility will help us achieve the newly enacted Ohio renewable energy portfolio goals. More recently on May 1, our unregulated generation company announce to sale of 9% participation interest in the Ohio valley electric company for $252 million. This transaction is expected to increase earnings in the second quarter by a $159 million, that’s the after tax number. We’re pleased with these another accomplishments. We were not immune to the adverse effects of the current economic climate. It should be no surprised that we experience reduced customers loads during the quarter. The ongoing recession resulted in a 7% decline in distribution deliveries across our three states service territory, as compared to the prior year and our industrial sales were off about 17% for the first quarter of 2008. While this sales decline was largely offset by several factors, including colder weather resulting in no significant earnings impact for the quarter compared to last year, it is lightly to impact the remainder of the year. On the generation side, our output was lower and we expect that our generation output for the year will be down, in comparison to 2008, partly related to three schedule nuclear refueling outages in 2009 as well as a fairly significant number of planed fossil outages in the second half of the year, including the tie in of Sammis Unit 6 as part of our air quality control project. We’re also reevaluating our near-term maintenance outage schedules, as well as outages scheduled over the next several years and may take advantage of the reduce loads we are experience as a result of the recession to undertake additional work on our facilities, which would include our largest units. Our emphasis on the fundamentals of the business remains unchanged. We continue to pursue operational excellence in our energy delivery and unregulated generation operations, maintain rigorous financial discipline and a focus on continuous improvement throughout the organization. The solid foundations we have carefully build over the past several years, as positioned us well as we work through the current challenges. I know many of you may have questions, concerning the upcoming Ohio competitive bid process. Let me start by answering any questions, you might have about the mechanics of the auction. The competitive bid process is scheduled to begin on May 13. We expect it to end the same day, but the process is run by an independent auction manger and it could take longer. The Ohio utilities will know the result as soon as the auction is completed, but will be able to disclose information until the PUCO rules on the validity of the completed process. PUCO has up to two business days after completion of the auction to make their ruling. So an official announcement of the winning price from the PUCO could come on Friday, May 15 or Monday, May 18 or thereafter. However contracts are not schedule to be sign by the winning bidders until Monday, May 18 at the earliest. Beyond the mechanics, you may have question regarding our view on price. There are number of reasons we cannot speculate on what the outcome of the competitive bid will be, FES which is FirstEnergy solutions, and we presume other bidders are currently developing their bidding strategy which will include the review of the forward energy prices as well as a host of other items, such as premiums for shopping and low shaping risk, capacity ancillary transmission and collateral cost and margins appropriate over the two year period of the obligation. We expect that the competitive bidding process will be robust with many participants, outside of that there really isn’t much we can talk about until after the process is complete. While we will not speculate about the price in advance of the auction, we have already taken steps on the retail side to locking communities through government aggregation. We have signed 20 communities so far we are actively implementing our retail strategy. I would like to introduce to you our new CFO, Mark Clark for details on the events that helped to shape our positive results for the first quarter of 2009. Mark.
Mark Clark: Thanks Tony and good afternoon everyone. It’s a pleasure to join you today in my new capacity. Before I start let me recognize the outstanding job that Rich Marsh did as our CFO for the past 11 years. I look forward to working with all of you. As I review our first quarter results it maybe helpful for you to refer to our consolidated report to the financial community that was issue this morning. As Tony mentioned normalize, non-GAAP earnings for the quarter were $1.02 per share compared with $0.88 per share in the first quarter of 2008. On a GAAP basis earnings in the first quarter were $0.39 per share compared to GAAP earnings of $0.91 per share in the same period last year. First quarter 2009 results include four special items that in total reduced earnings by $0.63 per share. First among these were one-time regulatory charges totaling $261 million or $0.55 per share for the Cleveland electric extended RTC write-off and other obligations primarily associated with implementing the amended electric security plan. Second, the impairment of securities held in trust or future decommissioning activities reduced earning to $0.07 per share. $0.05 per share earnings decrease was associated with our organization of restructuring and finally, earnings benefited from a $0.04 per share gain from the resolution of tax issue related to prior years. There were seven factors that contributed to this quarter’s positive results. The first two are related to the distribution side of our business. First, lower energy delivery expenses increased earnings by $0.06 per share, driven primarily by cost control measures. Also more of our vegetation management work was associated with capital projects in 2009 compared with the first quarter of last year and higher distribution rates in Ohio, which became effective January 3, for Ohio Edison and Toledo Edison increased earnings by $0.04 per share. The third positive driver was $0.30 per share increase in generation gross margin, which is made up of the following components. Retail electric generation sales, excluding sales source from third-party suppliers to retail, there were down 4.1 million megawatt-hours or 21% for an overall negative impact of $0.12 per share. This was offset by higher wholesale sales, which increased by 800,000 megawatt-hours or 28% and added $0.15 per share to generation margin. As primarily reflected the increased availability of generation for sale into MISO, since our generation did not served 100% of the Ohio utility load in the first quarter of 2009 under the December competitive bidding process. Lower fuel expenses increased earnings by $0.04 per share as a result of reduced generation output this quarter. Earnings increased $0.04 per share because of lower purchase power expense representing 1.5 million megawatt-hours and the final generation item relates to the deferral of certain purchase power expenses from the December 2008, RFP process of at Cleveland Electric Illuminating, which contributed $0.19 per share to increased generation gross margin. The final four positives were, a lower effective income tax rate increased earnings by $0.03 per share, for all of 2009 we expect the marginal tax rate to be about 38%. Investment income from corporate-owned life insurance benefited results by $0.03 per share, but was partially by $0.01 per share decrease in nuclear decommissioning trust income. Lower financing cost increased by $0.01 per share, higher capitalized interest related to construction programs more than offset the higher interest expense associated with the recent utility debt issuances, and reduced general taxes primarily due to lower kilowatt-hour deliver subject to the excise tax in Ohio increased earnings by $0.01 per share. Beyond these positive factors, four items partially offset the prior benefits. First, the completion of transition costs recovery at the end of 2008 for both Ohio Edison and Toledo Edison, reduced earnings by $0.13 per share. Increased pension and other post-employment benefits expense reduced earnings by $0.12 per share and it was primarily driven by reductions in pension plan assets due to the unfavorable market conditions experienced in 2008. The end of the Ohio distribution deferrals under our previous rate plan allow the utilities to differ up to $150 million per year. Absent, fees deferrals reduced earnings by $0.07 per share and finally incremental property additions increased depreciation expense by $0.02 per share. Earlier, Tony mentioned that our distribution deliveries were lower as a result of the economic slowdown. I’d like to provide some additional details on the offsetting factors that made this a neutral item for the quarter. While our electric distribution deliveries decline $1.9 million megawatt-hours or 7% due to the general economic slowdown across to our service territories, the reduced outage in the industrial sector, primarily in the steel and automotive industries and principally in the Ohio region made up the majority of this decline for $1.5 million megawatt-hours. These sales declines however, were essentially offset by three factors. First, the impact of colder weather during the quarter compared with last year. Heating degree days were 3% above the same period last year and 3% above normal. Second, distribution revenues do not typically decreased proportionally because distribution rates for our large industrial and large commercial customers are largely based on monthly peak demand charges rather than megawatt-hour sales. Finally, a considerable number of special contracts between Ohio Edison and Toledo Edison and their industrial customers terminated at the end of 2008, with those customers moving to tariff rates. In closing, I want to affirm our four financial objectives for 2009. First, is to maintain a strong liquidity position. We had access to more than $4 billion of liquidity as of May 1, of which more than $1.9 billion was available including cash reserves of nearly $700 million. Second, to remain flexible and response to the changing market conditions; third to maintain a secure dividend with the potential for growth, and finally to position the company to emerge strongly when the economy recovers. We are very pleased with our first quarter performance especially given the current market dynamics, completion of the Ohio competitive bidding process which is schedule to beginning May 13, will enable us to finalize earnings guidance for the year. We plan to schedule a time shortly thereafter to discuss our projections with investors. We appreciate your time today and continued interest FirstEnergy. I also look forward to meeting all of you in the near future. Now I ask the operator to open the call for questions. Thank you.
Operator: (Operator Instructions) Your first question comes from Kit Konolige - Soleil Securities.
Kit Konolige - Soleil Securities:
Rich Marsh: With respect to the first quarter, lower industrial sales meant that we had lower fuel cost and since their contracts rolled off at December 31, ’08 they paid higher price and we had lower fuel cost. That would be nice to continue, but the auction will determine that beginning May 13.
Kit Konolige - Soleil Securities: Is the auction going to have a separate pricing mechanism for industrial or different class of customers?
Anthony Alexander: That I would be a slice of the system?
Kit Konolige - Soleil Securities: But the auction won’t affect your fuel cost?
Harvey Wagner: Well, the auction will affect it to the extend that it effects our dispatch strategy for the generating units.
Kit Konolige - Soleil Securities: Right, so in other words I shouldn’t really take much from that. In the first quarter you had some extra megawatt-hours to sell, you sold them, that were a good deal. The industrials are paying demand charges, not energy charges and it comes out slightly ahead, but that is effectively over written in the new regime once the auction is conducted?
Harvey Wagner: Yes.
Anthony Alexander: But also in the first quarter we really had a strong performance of the entire fleet. It wasn’t a lot of scheduled outages and the units ran strong for us that with the kind of performance that we’ve seen over the last several years. So, there were a lot of positives moving through this timeframe. Obviously, the colder weather help to offset some of that to as customers moved into higher pricing brackets in their own tariffs.
Kit Konolige - Soleil Securities: You will have more outages for work this year; I think it you talked about presumably that will be in the second quarter and fourth quarter primarily?
Anthony Alexander: Well, we’ve got three new clear outages scheduled this year. We’re in the process now closing down one. We are in the middle of a second one and we have a third one coming up later this year. We also took an outage at one of our plants that was not scheduled well actually it became scheduled during what would be the second quarter. So, in the main, as you look to and then as you look to the fourth quarter in particular, as we start the tie in work for the Sammis AQC project and take a hard look at the overall outage schedule in comparison to the reduced loads that we have, we could be making modifications to take advantage of this timeframe.
Mark Clark: I would only add two things to what Tony said. Our ability to control our O&M expenses in the first quarter will continue through the year. In additionally one of the special items was the reorganization, special charge in the first quarter. The benefits of that will not be really affected until the second, third and fourth. So, there are some positives that will carry through other positives that will start.
Kit Konolige - Soleil Securities: Just to be clear, so the control of the O&M and then there is a second control of O&M from reorganization?
Mark Clark: We had a staffing reduction of 335 management support staff announced in March and those people left the payroll in April. Additionally, we had 4% of our non-union workforce affected by management changes alignment of responsibilities. We took a onetime after tax charges of $16 million or $22 million pretax per severance related benefits. We expect ongoing expenses to be reduced by approximately $37 million from those changes.
Kit Konolige - Soleil Securities: I’m sorry, $37 million ongoing annualized or for the two changes or the…?
Mark Clark: Yes.
Operator: Your next question comes from Paul Ridzon - Keybanc Capital.
Paul Ridzon - Keybanc Capital: Its sounds like you’re early in the planning process, but should we read that give that the industrial demand you kind of throwing in the towel in ’09 and you going to accelerate a bunch of O&M into the year. How much could that be and from years will that becoming?
Mark Clark: I don’t think Tony would let me ever characterize that we are throwing in the towel, but I think we’re aggressively trying to manage our O&M expenses and to the extent the market stay soft, we will move some of our schedule outage around it.
Paul Ridzon - Keybanc Capital: Do you have a sense of how much O&M that could be?
Anthony Alexander: Paul, we are looking at that now.
Operator: Your next question comes from Hugh Wynne - Stanford Bernstein.
Hugh Wynne - Stanford Bernstein: I have a question regarding the capital structure of the company. I notice that you had decline in the proportion of equity and the adjusted capital structure to 36%, I believe and FFO to debt is also seems to somewhat below the standard of gross target for your rating grade, the relative week balance sheet combined with the economic downturn resulting in lower wholesale prices in the second half, possibly therefore lower retail prices in Ohio. It seems to me must be creating some concern among lenders and the rating agencies, but maybe wrong about that. So, I wanted to ask and hear from you what commentary you are getting from the rating agencies from the creditors?
Mark Clark: I’m going to let Harvey Wagner speak to accounting aspect to that and I’ll speak to the strategic.
Harvey Wagner: One of things, our equity did go down, but it was a result of some of those special items that happens, so we were actually had reported earnings that were less than our dividend in the first quarter. Obviously, we do not expect that to continue going forward. Jim Pearson, can address the rating agency question.
Jim Pearson: Also if you are looking at a decline in our equity, some of that is compared to the first quarter of ’09 comparing to first quarter of ’08. We did take a reduction for other comprehensive income at the end of the year associated with our pension plan. Every year you have to re-measure those assets, so that reduced our equity by above 4%. From the rating agency standpoint, we’ve had ongoing dialogue with rating agencies, they understand the mechanics of our ESP and we stay in continual dialogue with them. We will probably have our annual review with the agencies sometime in June, but from our perspective we really don’t speak with them.
Hugh Wynne - Stanford Bernstein: From financial strategy perspective, do you think is the need to strengthen the balance sheet?
Anthony Alexander: Hugh, a lot of that will be determined by the auction, the fact that we just sold no vacant picked up $151 million in cash. Our competitive retails or sales are not exclusive to Ohio we show in Pennsylvania, Maryland, the Illinois and Ohio. So you mix already n and then we’ll place that into the context to the auction.
Hugh Wynne - Stanford Bernstein: Okay. Could you guys just provide any guidance as to the level of power output of the generation fleet both in the first quarter of this year relative to the first quarter of year, but also looking forward to remaining three quarters? I know you’re in planning phase regarding your outages, but can you give us a sense of how generation will compare year-over-year?
Anthony Alexander: Well, I can give you the first quarter results.
Mark Clark: First quarter generation output was down about 2.3 million megawatt-hours versus 2008 and I think as we alluded to you before, depending on the option, our dispatch strategy would determine how much of their production will be in the balance of ’09.
Hugh Wynne - Stanford Bernstein: What percent, the total generation output was down by what percent?
Mark Clark: 2.3 million Megawatt-hours. I don’t have the percentage.
Hugh Wynne - Stanford Bernstein: Do you have the total --?
Mark Clark : 11%.
Hugh Wynne - Stanford Bernstein: Then you say for the remainder of the year, you don’t have enough clarity yet?
Mark Clark : Correct.
Operator: Your next question comes from David Frank - Catapult Partners.
David Frank - Catapult Partners: I want to go back over that industrial sales issue that Kit was talking about. I guess the way you have your sales structure now is the way most traditional utilities do, you get this demand charge and a kind of ambivalent as to how much energy you actually sell to them. And now when we post the auction, if I understand this correctly that goes away and so you will be at risk for lower sales, but it will be into the wholesale market which you are selling into now. Is that a fair --?
Mark Clark: Well, we will be at risk for lower sales, but that would not necessarily mean that going into the wholesale market, they could go into the retail market. For example, Tony alluded to the 20 communities that have already signed up for an aggregation, so that all gets as I said before, it gets mixed together.
David Frank - Catapult Partners: Right, okay, but if you are serving roughly 60 million megawatt-hours or whatever the number is for your total Ohio retail load including industrial, if all your industrial switch you can only serve so much residual, small commercial and residential I guess. So at what point when you are serving all those folks to the max that you can, the residual just goes into the wholesale market?
Mark Clark : If I understand your question correctly, if we lost a 100% of our industrial sales, you are correct we have to find another source. Whether that’s in the wholesale market or the retail market they will have to be replaced, that’s correct.
David Frank - Catapult Partners: Right and I’m not suggesting that’s going to happen. I just --.
Mark Clark : Either our way.
David Frank - Catapult Partners: Alright, and then just to go back over the cost cutting, that the $0.06 that you experience in the first quarter, can we annualize that to a $0.24 kind of number?
Mark Clark: I think we are going to look at that after the auction and look at where we are in total. It could go up, it could go down. Clearly the staff reductions are something that would continue through the year. Clearly the 4% change in management and other alignment of duties will remain constant, but I think it will be premature to suggest where we think that will come out until we get more clarity around the auction.
David Frank - Catapult Partners: My last question, just on the Pennsylvania utilities Met-Ed and Penelec; I guess enormous paying attention, but suddenly those guys are pretty much in market rates now, so I guess before there was this huge lost opportunity cost that you were facing over the next couple of years instead of selling into a higher sport market of auction or whatever, you were selling to those guys in the low 40s and now they’re sort of corresponding to less price is more or less at this point? Are you going to see lower purchase power costs related to those utilities now?
Bill Bird: This is Bill Bird. That’s not quite correct. The rate cap that made in Penn Elec are continued to be in place and more remain through the end of 2010, but nothing has really changed that made in Penn Elec. They have filed their plan for how things will work after 2010.
David Frank - Catapult Partners: In the meantime, if you are in the hook to serve them, you are cost to serve them have comedown quite a bit, haven’t that?
Bill Bird: The opportunity cost has decreased along with the market price.
David Frank - Catapult Partners: But are you expecting or forecasting at this point any contribution to earnings because you have to procure less power at higher rates or less rates?
Bill Bird: Nothing materially different in prior years, it will be the same dynamics.
Operator: Your next question comes from Jeff Coviello - Duquesne Capital.
Jeff Coviello - Duquesne Capital: I just had one more clarifying question on the industrial sale. I just want to make sure, I understand it correctly. So, right now those sales are handled under a tariff that is mostly tied to our peak demand and has a fixed demand charge associated with it. Then I guess post auction or post mid year, those sales are going to be treated like any other retail sale. I just get a retail price and then that the marginal fluctuate with volume, is that correct?
Mark Clark: Not really. They’re still going to have demand charges and those still have a G charge and that will be depended on the auction.
Jeff Coviello - Duquesne Capital: Okay and how does the demand charge worked. Does that kind of reset with the peak on an annual basis or what peak is it tied to?
Bill Bird: This is Bill Bird, again. It’s a function of the monthly maximum demand at the customers. So, it checks each month for the maximum hourly energy consumption for given hour. What we see as consider of manufacturing concern with two shifts, due to economics the second shift maybe eliminated, but their demand during the first shift is still the same. So energy consumption has cut in half, but the demand charge is still exactly the same.
Jeff Coviello - Duquesne Capital: I got it. So if they lower the number of shifts, they could have the same demand charge, we we’ll likely they have the same demand charge, but I guess that there was a closure or something like that, then you’ll see the impact?
Mark Clark: Exactly.
Operator: Your next question comes from Daniele Seitz - Dudak Research.
Daniele Seitz - Dudak Research: I was under the impression that you were budgeting something around $100 million reduction O&M, originally is this still in the cards or that has changed tremendously, because of other considerations?
Mark Clark: I wouldn’t say it is not changed, basically the staffing reductions are still there, the O&M reductions in energy delivery is still there and what we were saying is it may change depended on the outcome of the auction. We still plan on the $100 million.
Daniele Seitz - Dudak Research: Okay, say it was to change because of the schedule of maintenance it would on the way up not on the way down.
Mark Clark: Well, depends if the maintenance is capitalized or if it’s O&M. But yes, if it’s O&M it would reduce that amount.
Operator: Your next question comes from Dan Jenkins - State of Wisconsin Investment Board.
Dan Jenkins - State of Wisconsin Investment Board:
Mark Clark: The first of your question is, yes. We were expected continue through out the year. On the second part of your question, no we do not anticipate making any pension contribution this year. I would only add to that expense is getting quite a bit of review in the present time in terms of options.
Dan Jenkins - State of Wisconsin Investment Board: Okay. I was curious on the write-offs related to the Ohio plant. Have those been completed or where there any future write-downs or has it all been taken then in this quarter?
Harvey Wagner: Dan, this Harvey Wagner. Everything was recognized in the first quarter.
Dan Jenkins - State of Wisconsin Investment Board: Okay and then I was curious on Perry, it sounds like it’s been offline for two and a half months. Was that the scheduled outage time or is there something more going on period than originally planned?
Anthony Alexander: Yes, Dan the original schedule was to be in excess of 50 days, it’s probably going to run a little longer than that. We had some emergent work that we want to do to accomplish before that it was all completed, but beyond that the outages is going fairly well in terms of the amount of work that we wanted to complete and for the long term operation of that facility.
Dan Jenkins - State of Wisconsin Investment Board: Then on your cash from operations, you had about $250 million benefit from the changes in working capital in other line on page 10 of your release and I was wondering if you could give a little more color on what’s going on with that?
Harvey Wagner: Yes, Dan. This is Harvey again. A lot of it had to do with the accrued compensation cost and employee benefits. As we talked about a minute ago pension and OPEB cost which are non-cash item were higher in 2009 that accounted for about half of that $200 million, it’s about $98 million there. The decommissioning trust, impairment increased their working capital reconciliation item by $20 million, accrued interest was up by $27 million, reduction in gain on asset sales from sales that took place last year increased the working capital component by $32 million and the accrual of items associated with the implementation of the electric security plan and our restructuring charges amounted to about $57 million. So that’s the lion share of the increase that happened from the working capital.
Dan Jenkins - State of Wisconsin Investment Board: Then on your balance sheet, you have quite a bit of short term debt. Is that the way you want to run going forward? You have a quite a bit drawn on your lines, at least the end of May, March it looks like, you plan them to term that out or is that kind of the way you are going run, you expect over the intermediate term?
Anthony Alexander: Right now we would expect to run that way over the intermediate term. Liquidity is very high and our less, so we would expect to maintain fairly high cash balance in the intermediate future.
Dan Jenkins - State of Wisconsin Investment Board: Then the last I think have is just kind of on your strategy, with the new rate plan in Ohio and kind of what you saw as kind of what you got that you wanted to and that you are willing to give up and then my main concern I guess was a number of these kind of operational expenses that are being deferred over 25 years which seems like quite a long time with current expenses and what your kind of philosophy was on agreeing on that long of a deferral for those items?
Anthony Alexander:
Harvey Wagner: Dan, we look at it very differently. The recent electric security plan actually provided for recovery of all of those costs. So, there was certainty there. The 25 years that was developed in connection with the rate certainty plan, it was based on a strategic analysis for our customer’s prices.
Mark Clark: Dan, there is some other features in the plan that we considered very positive as Tony alluded to them earlier. First the uncollectible rider, the storm rider is important to us in Ohio. We have quite a bit of income statement exposure without the rider. We have a rider in New Jersey, there’s the T&D portion to help us rebuilt the systems. So there are a number of other items in that case the review is very positive. All of these are of course subject to prudent to the commission, but we view them all very positive.
Operator:
Ashar Khan - Incremental Capital: Just trying to get a sense, if I remember correctly fuel and purchase power cost were going to be up something in excess of $100 million for ’08, ’09 something like $150 million or so and if I’m right there down for the first quarter. So I’m trying to understand the dynamics of those increasing from ’09 to ’08. Am I right or wrong in my assumptions, to what was said -- earlier part of the year?
Mark Clark: The original assumptions for ’09 for the total calendar year were that they would be up. In the first quarter, they were actually lower, which increased earnings by $0.04. Fossil fuel cost declined by $17 million, nuclear was up roughly by $1 million which produced a net 16, which is where the $0.04 comes from. I think we will have a very good idea what a fuel cost would be after the auction when we recalibrate our dispatch strategy.
Ashar Khan - Incremental Capital: Okay. Doesn’t it seem that $150 million number which if I’m right was given early on seems to be on the high side now based on where you are?
Mark Clark: That would depend on the economy, the success we have in the auction and a multitude of different factors from the balance of the year. We’ll include that in our revised forecast, when we prepare that.
Operator: Your final question comes from Hugh Wynne - Stanford Bernstein.
Hugh Wynne - Stanford Bernstein: I found that the discussion of the $0.30 increase in your generation gross margin, somewhat confusing and I was hoping maybe you could give me a can version that’s already approved. What happened here that you’re able to enjoy higher retail prices that the Ohio companies and the continued collection of the RTC at least at the Cleveland Electric and then we’re also able to shift the portion of the sales that you are not making to the Ohio companies to the wholesale market and apparently realize there some attractive margins. I am trying to come up with simple way to understand this relatively robust result?
Mark Clark: Let me give you five components, four of which positively contributed one of which was negative. I think that sometimes to confusion, when you get the negative and the positive to get. Retail generation sales reduce the margin by $0.12 and that was a combination of higher retail regulated sales on the competitive side and then lower retail competitive sales because of the market, that was $60.12 of share of that’s the negative. Now the next four are all positive, the wholesale sales contributed $0.15 or roughly $72 million which was, in the wholesale market was a combination of energy $6 million and capacity of $66 million. The second positive was fuel, which the prior question you asked about and that was lower fuel cost at our fossil plants, slightly higher than the nuclear which was roughly $16.04. The next positive or the third was purchase power, with the economy being down we did not require as much purchase power, $69 million of that was rate driven and $91 million was volume is negative, which produce the $0.04 and then the final positive to the GEN margin was the deferred purchase power for Cleveland Electric Illuminating, which is $019 which is be amount that kept the rates in their current level. So there were four positives, one negative, which adds up to the thirty.
Hugh Wynne - Stanford Bernstein: The first negative the $0.15 you said it was on competitive sales?
Mark Clark: The first negative was $0.12, retail generation sales.
Hugh Wynne - Stanford Bernstein: Was that competitive or just across the board?
Mark Clark: That was principally competitive, yes.
Hugh Wynne - Stanford Bernstein: It sounds from what you’re saying that, to some extent this decline in generation, this 11% decline in generation that you guys talked about allowed you to reduced the operation of some of the higher cost units and that may have been bit of a per megawatt-hour margin improvement as a result?
Mark Clark: We dispatched our unit based on the economics and because the sales were down we didn’t have to purchases as much. So you had dispatching the lower priced units and then not having to purchase power.
Anthony Alexander: Thank you very much. I’d like to thank everyone for joining us on the call today. As always, we appreciate your support and interest in the FirstEnergy. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and we thank you for your participation.